Operator: Good morning, ladies and gentlemen, and welcome to the Delta Airlines September Quarter Earnings Results Conference. My name is Kelly Anne, and I'll be your coordinator for today. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the call over to Ms. Jill Sullivan Greer, Managing Director of Investor Relations. Please go ahead, ma'am.
Jill Greer: Thanks, Kelly Anne, and good morning, everyone. Thanks for joining us for our September quarter call. Joining us from Atlanta today are Richard Anderson, Delta's Chief Executive Officer; Ed Bastian, our President; and Paul Jacobson, our Chief Financial Officer. We also have the entire leadership team here in the room for the Q&A session. Richard will open the call, Ed will then address our financial and revenue performance, and Paul will conclude with a review of cost performance and cash flow. [Operator Instructions] Today's discussion contains forward-looking statements that represent our beliefs or expectations about future events. All forward-looking statements involve risks and uncertainties that could cause the actual results to differ materially from the forward-looking statements, and some of the factors that may cause such differences are described in Delta's SEC filings. We'll also discuss non-GAAP financial measures. All results exclude special items unless otherwise noted, and you can find the reconciliation of our non-GAAP measures on the Investor Relations page at delta.com. And with that, I will turn it over to Richard Anderson.
Richard H. Anderson: Good morning. Today, we reported a $1.2 billion net profit for the September quarter. We increased our profit by 56% or $444 million year-on-year, expanded our pretax margin by 3.7 points to 11.5% and achieved our $10 billion net debt target. EPS is $1.41, beating consensus by $0.05. Importantly for our shareholders, we bought back $100 million in stock in 3Q and paid $51 million in dividends. We are pacing well ahead of our goals for 2013. We ran a good operation, with on-time performance at 83% and completion factor at 99.8%. Our employees have hit every operational goal so far this year, including 40 days of 100% completion factor. Our customer complaints at DOT are at all-time lows for Delta. For that operational success, our employees have received $69 million this year in Shared Rewards. We are planning to hit all of our operational goals, so we should have maximum Shared Reward payouts for our people for over 2 years in a row. The success in this quarter is a credit to the 80,000 Delta employees worldwide. We are pleased to recognize their efforts with $240 million accrued profit-sharing, which now puts us at nearly $390 million for the year, which exceeds last year's total. We look forward to a record profit-sharing payout for Delta people on Valentine's Day 2014. Delta has significant opportunities ahead throughout our businesses, and we must keep our heads down and work hard to continue advancing Delta. We will have a record year in 2013 and there's a sizable opportunity in front of us to drive improved service, better RASM, further margin expansion and increased cash flow in 2014. Our revenue performance is currently at 106% system revenue premium to the industry. And we have a variety of initiatives underway that will grow the Delta premium. Our ancillary revenues are top-tier and we believe significant upside exists going forward. Our operational and customer service performance is overall the best in Delta's history. We will continue to deliver and improve upon that performance. Good operations and customer service drive a revenue premium, as business customers demand quality service. This is reflected in our 10% corporate revenue growth. Running a solid operation also improves our cost efficiency, which is reflected in our nonfuel CASM performance in this quarter. On the corporate side, our momentum is building and we are capturing more corporate share, particularly in New York. The investments we've made to upgrade our product will be completed by midyear 2014. Whether it's flat beds on long-haul flights, Wi-Fi across the fleet, JFK facilities or similar product attributes, corporate customers are showing they value these investments. While these investments are tapering, the paybacks will grow going forward. On the Pacific network, we had good profitability in the quarter and we are building Seattle as a West Coast gateway to Asia. New flights between Asia and Seattle, along with the domestic feed we've added there to support this, will allow us to provide broader service to our customers, including direct flights to the top 5 destinations in Asia and the top 3 destinations in Europe. The Atlantic network, in conjunction with the AFKL JV, lead all of our entities in performance. With our Virgin antitrust immunity coming online January 1, we are well-positioned for long-term improvement in the trans-Atlantic. Likewise, our Latin network, along with our exclusive partners, Aeroméxico and GOL, had solid performance with improvements across the network. We have nice opportunities ahead in those markets. Our domestic network continues to generate excellent revenue performance. Our domestic revenue index was over 112% for the quarter and we posted a gain of over 5% in PRASM in the quarter on a capacity increase of 2.6%. We look forward to even stronger domestic performance as the cost benefits from our domestic re-fleeting and upgauging began. Between now and 2016, we will take delivery of 180 mainline and 2 class regional aircraft, allowing us to retire 150 additional 50 seaters and 50 to 60 older mainline planes. Our goal is to cut our 50-seat fleet from 260 at the end of this year, to 100 to 125 over the next 2 years. Not only do new aircraft provide maintenance and fuel efficiencies, and they're much better for our customers, but the upgauged fleet can produce capacity growth below GDP with fewer aircraft, further improving our return on invested capital. With regard to cost, through a lot of hard work, Delta has the best unit cost position among the network carriers. We are determined to achieve our goal of keeping annual cost growth below the rate of inflation. This quarter is indicative of our long-term expectations. We also have a tremendous opportunity with the Trainer Refinery. Importantly, the refinery's production has proven to be effective in keeping jet cracks in check, particularly in the New York Harbor. Our next step is to improve the refinery's profitability through lower-cost domestic crude supply from the Bakken field, increased jet fuel output and operational initiatives to improve throughput and product mix. For our shareholders, the business has produced more than $7 billion of free cash flow over the past 4 years and we will be -- continue to be very responsible stewards of that cash flow stream. We are now executing the balanced capital deployment plan we laid out for our share owners in May 2014, which creates more than $5 billion in shareholder value through additional debt reduction, returning cash to shareholders and addressing our pension liabilities. In fact, we are performing ahead of the May 2014 long-term capital deployment plan. We have produced a 14% return on invested capital over the last 12 months and we are incredibly focused on maintaining that performance. That means we will continue to maximize free cash flow, pay down debt, because the EPS accretion opportunity is significant for our owners. We will return excess cash to shareholders and be very disciplined about capital investments. To close, we are continuing to work hard to build a better airline for our customers, employees and investors. There are significant opportunities ahead of us and we will keep our heads down and execute on those opportunities. We expect to set an all-time profit record for Delta in 2013 and in turn, expect to improve on that performance in 2014. Thanks for your attention and we look forward to seeing you at our Annual Investor Day in New York on December 11. With that, I'll turn it over to my colleague, Ed Bastian.
Edward H. Bastian: Thanks, Richard. Good morning, everyone. Earlier today, we announced a September quarter profit of $1.2 billion, a $444-million improvement over the prior year. Our EPS of $1.41 beat consensus by $0.05. I'll echo Richard and congratulate the entire Delta team for an outstanding quarter. Summer weather posed considerable challenges across the system and our employees did a remarkable job in running a solid operation and taking great care of our customers. It's an honor to be able to recognize those efforts with a record profit-sharing accrual. At a high level, our revenue performance was remarkable, as we increased our top line in a declining fuel price environment. This combination has been key to the margin expansion we've seen this quarter and this year. Passenger revenue increased 7% or $581 million dollars on 2.6% growth in capacity. We are continuing to make good progress in increasing our corporate travel share. Our corporate revenues increased 10% during the quarter, driven by strength in the domestic market. Banking, financial services and healthcare all grew at greater than 15%, proof that our efforts, especially in New York, are paying off. Our passenger revenue performance has also been bolstered by a double-digit increase in sales of seat-related products and other services. While this is still a relatively small portion of our total revenue base, we see good growth potential, as our experience so far has shown the customers are willing to pay extra for products and services that improve their travel experience. This is an area that Glen and the marketing team will update you on at our December Investor Day, and is a key part of our future revenue growth strategy. Cargo revenues were down almost $15 million and continued to be impacted by a weak global freight demand and yen devaluation. Other revenue was flat for the quarter, as growth in our third-party staffing business offset a decline in our MRO revenues stemming from our decision to exit certain low-margin contracts. Domestically, we had a strong summer season with high load factors, which produced unit revenue growth of over 5% on a slightly higher capacity. Our domestic revenue strength was one of the key drivers of our earnings improvement this quarter. We saw robust revenue generation among the business travel segment in our core markets, including noticeable gains in Atlanta. In New York, we have now seen unit revenue growth outpacing the system average for several quarters. In the trans-Atlantic, despite sluggish European economies, solid corporate revenue share gains and effective collaboration with our JV partners, Air France, KLM and Alitalia, contributed to a 6% unit revenue improvement for the quarter. Once again, Heathrow unit revenues led the pack by a sizable margin, with a nearly 20% unit revenue improvement. We have significant potential with our alliance partners. Our Air France-KLM relationship is a model of how these alliances can be mutually beneficial. By working together, we've doubled our profit within the JV over the past 3 years and quintupled it since the JV was implemented 5 years ago, as we provide higher-quality and more comprehensive service to our customers. We will leverage this experience as we implement our joint venture with Virgin Atlantic. We received the final approval of our antitrust immunity a few weeks ago and are on track to implement the JV starting January 1. The Virgin and Delta teams are working well together and our customers will benefit from this innovative partnership. We've already announced a number of changes to improve service between New York and Heathrow, including retiming our schedule to better meet customer demand. And the team at Virgin is making great progress in turning around their financial performance and delivered a solid profit for the September quarter. For Delta, included in our nonoperating line was a $40-million benefit, representing our 49% portion of Virgin's September quarter profit. Turning to the Latin entities, improving yields drove 2% unit revenue growth against a 14% increase in capacity. We are building on our partnerships with Aeroméxico and GOL. During the quarter, the Aeroméxico relationship helped drive unit revenue improvement in Mexico despite a 15% increase in capacity. And in Brazil, additional traffic from the GOL partnership delivered nearly $20 million in incremental revenue during the quarter. There is great upside potential with these partners and we are continuing to strengthen these commercial and operational relationships. Moving on to the Pacific, the yen devaluation continues to negatively impact the beach markets, primarily in Japanese point-of-sale, and we tactically adjusted our beach capacity throughout the summer to offset this weakness. The yen devaluation and the associated weaker demand negatively impacted the quarter's profit by $80 million. Fortunately, our foreign exchange exposure was fully hedged and the $80 million impact represents the impact on Japanese point-of-sale demand. The yen impact peaked in September quarter since August and September are the heaviest demand months for Japanese point of sale, especially in the resort markets. But even with the yen's impact, it's important to note that the Tokyo-Narita operation was our highest margin hub for the September quarter. We expect our Pacific restructuring will improve our Pacific performance next year. Moving in to the December quarter, we are forecasting an operating margin of 7% to 9%, which would represent roughly 200 to 300 basis points of margin expansion over the December quarter of a year ago. As Richard mentioned, our domestic re-fleeting is a key source of margin improvement over the next few years, and we are just beginning to see the benefits. We expect to put 27 new aircraft into service during the quarter and retire 41 aircraft. As a result, our December quarter capacity from this upgauge should increase 1% to 3% on 14 fewer aircraft. Rest assured that our commitment to maintaining strong capacity discipline remains in place. In terms of unit revenues, our fall bookings look strong. For October, we are expecting a 2-point increase in RASM. However, I need to provide some context. Our comps in October are substantially more difficult than they were in September, and the Sandy impact last October alone created 1 point of higher RASM that we are now lapping. In addition, we did see approximately a $25-million impact this month from the government shutdown. So after giving effect for these 2 factors, the Sandy impact and the impact of the government shutdown, we estimate our core RASM for October to be up approximately 4%. November will be a tough month to forecast. The late Thanksgiving calendar shift this year means that the peak Sunday-Monday return travel dates are in December, which will shift 2 to 3 points of RASM between those months. In addition, we had a $30 million negative hit for Sandy last November, which impacted a considerable volume of walk-up traffic in the Northeast. And when you also factor in the national election held last year, we have a lot of unusual factors to account for. That said, what we have on the books for November and December indicates a strong holiday period and a solid close for the year. With that, I'll now turn the call over to Paul, to cover cost and cash flow.
Paul A. Jacobson: Thank you, Ed, and good morning, everyone. We came into this year with a clear goal of stemming the rate of growth in our costs and expanding our margins, and our results to-date show the entire Delta team has executed well on that goal. Total operating expenses increased 2% on a 2.6% increase in capacity during the quarter. More than 1/3 of that increase was driven by $75 million of higher profit-sharing accrual. With 3 quarters of financial results that were better than our plan set out at last year's Investor Day and a solid profit expected for the fourth quarter, we've adjusted our full year effective profit-sharing rate to reflect that a portion of this year's results will accrue at the higher 20% rate. Our nonfuel unit cost for the quarter increased 1.1% year-over-year, as we have begun to lap cost pressures from wage increases and targeted investments in our operation. We expect our nonfuel CASM to increase about 2% in the December quarter, in keeping with our long-term goal. It will take hard work and innovation to maintain this level of cost performance going forward, but we have the right plan and commitment in place to do so. On the fuel front, our full expense declined $81 million on lower market fuel prices and better hedge performance. The all-in fuel price per gallon was $2.97, which included a $0.06 per gallon hedge gain. The refinery produced a $3 million profit for the quarter, despite lower overall crack spreads towards the back end of the quarter. These lower crack spreads also resulted in lower market jet fuel costs for Delta. With every penny of jet fuel change equating to $40 million in annual expense, the decline in jet fuel relative to where it has traded historically has produced savings that more than offset the year-to-date loss at Trainer. Our fuel cost benefited also from $67 million of hedge gains this quarter. As our hedge performance shows, we have effectively positioned our hedge book to provide protection against significant increases in crude, while maintaining meaningful downside participation. For the December quarter, we are hedged approximately 30% up to $120 per barrel, and those positions are currently worth approximately $70 million. So as of the October 18 forward curve, we are forecasting a December quarter fuel price of $3.03 to $3.08 per gallon, including the refinery and the hedge impact. Moving on to cash flow, we generated $1.2 billion of operating cash flow and $627 million of free cash flow during the quarter. We have used our strong cash flow generation over the last 3 years to delever the balance sheet and ended the quarter with $9.9 billion of adjusted net debt. Debt reduction has lowered our interest expense by more than $30 million this quarter over last year alone. With our initial $10 billion target now achieved, we have already begun marching down the path toward our new $7 billion target, which will further reduce our interest expense in the future and expand our pretax margins. As Richard mentioned, we have also shifted to the balanced capital deployment plan we articulated to you earlier this year, which includes returning capital to shareholders through dividends and share repurchases. In the September quarter, we distributed $51 million through our $0.06-per-share dividend payment. We also began our share repurchases, buying back 4.8 million shares at an average price of $20.82 for a total of $100 million during the quarter. Combined, these programs returned $151 million to our shareholders. Capital expenditures for the quarter totaled $635 million. Of that, $450 million went towards fleet investments and $61 million to purchase 12 aircraft off lease for debt reduction purposes. For the December quarter, we expect CapEx to be $800 million, primarily for the aircraft that are a part of our domestic re-fleeting initiative. As our financial and operational results show, we have built solid momentum across the business. As we move forward, we will not waver on our commitment to improve our margins, maintain our cost and capital discipline and generate free cash flow, while taking great care of our customers and our employees. In closing, once again, thanks to the 80,000 Delta folks making this happen every single day. Jill?
Jill Greer: Thank you, Richard, Ed and Paul. Before we go to the Q&A section, I did want to remind everybody about our annual Investor Day, which will be held on December 11. If you could mark your calendars now, we'll be sending out more information in the next few weeks with all the details. So with that, Kelly Anne, if you could give everybody the instructions for asking questions?
Operator: [Operator Instructions] We'll move first to Michael Linenberg with Deutsche Bank.
Michael Linenberg - Deutsche Bank AG, Research Division: Just 2 here. Ed, I want to go back to the comments. You were talking about the Pacific and how it was -- how the Narita hub was very profitable. And then, you sort of quickly alluded to a Pacific restructuring that's expected to take place next year. What does that entail? I mean, is that -- are you pulling out of some interport flying? Are you assuming some pickup of some Haneda slots to do some additional service? Can you just maybe shed a little bit more light on that?
Edward H. Bastian: Sure, Mike. I'll give you a little bit of color and then Glen's here, he can provide more background as well. As you probably are aware, we are continuing to diversify our network, not just through the Pacific but internationally. And the growth of our direct flying to Asia, using Seattle as our principal hub that we're creating off of the West Coast, is affording us the opportunity to get some additional frequencies and opportunities in China. So part of the strategy is to reduce the concentration in Japan with some additional flying both to Korea, as well as to China. And secondly, as you look at Japan and the interports, you're right. There are a handful of interports that we have been pulling down over time and we're going to continue to as we fly directly into Haneda, and then we have those additional Chinese frequencies.
Michael Linenberg - Deutsche Bank AG, Research Division: And then just my second question, as we look out to 2014, what are some of the potential capacity hotspots that you see? Like for example, we're starting to see carriers, both U.S. and Asia, ramp up. Is that a potential concern? Are there any other regions that you're sort of watching closely as things play out over the next 6 months or so?
Edward H. Bastian: From what we can tell, the capacity seems to be relatively in line with demand. I'd say the area that we're watching closely here is clearly in the U.S. We've been adding a bit of capacity in the U.S., but that's coming through the form of an upgauge strategy, which is clearly margin accretive and very cost-effective and in fact, reducing the amount of flying we're doing in terms of volume, but increasing the size of the aircraft. Internationally, Europe has some -- probably, some capacity this winter that's at a little higher level than we might like to see relative to the economies there. But as far as Delta sits, we're quite comfortable with where we're positioned.
Operator: We'll hear next from David Fintzen with Barclays.
David E. Fintzen - Barclays Capital, Research Division: Just a quick follow-up on some of that Pacific commentary. Just maybe for Ed and for Glen, I mean, how -- as your shifting around new routes and opening in China and Korea, et cetera, how long should we think about the spool up curve for these new routes? I mean is this like a 2-, 3-year process? And I guess the flip of that would be what's the spool up for some of the domestic feed that obviously you have to put in to places like Seattle, and you're developing L.A., to feed in to that? And ultimately, what I'm trying to get at is, as we think about 1% growth, is this a more developmental 1% system growth kind of going forward, where maybe there's a little more RASM dilution in that growth than we've seen in the past?
Glen W. Hauenstein: David, it's Glen. I think you have to look at it as we're culling the system for the underperforming assets and then we're trying to deploy them into higher potential. And usually, that's actually RASM accretive to us. So if we're doing our job right, we're making that RASM accretive for the airplane from Day 1. Additionally, in Seattle, markets like Shanghai have been out-of-the-box profitable for us. So we're very pleased with the results for our Seattle expansion. Remember, these are really not necessarily new -- all new customers to us because we've been in those markets for many, many years. We're just changing the routings of how we get them there and making it better for the customer and more efficient for the airline.
David E. Fintzen - Barclays Capital, Research Division: Okay. That's very helpful. And just maybe a quick follow-up, just on the CASM side. That 2%, the re- fleeting, how much of a CASM benefit from the initial re-fleeting is there in the fourth quarter? And maybe how much of a RASM penalty?
Paul A. Jacobson: On the CASM side, David, we actually are just getting started with that. So many of those aircraft they delivered at the back end of the quarter are just going into service. So it's somewhat limited in fourth quarter of '13 and will continue to appreciate over 2014. I think if you're looking at the sequential cost performance, there was some higher spend in third quarter of 2012 that gave us a little bit of an advantage. But overall, we remain balanced at less than 2%.
Operator: And next, we'll hear from JPMorgan's Jamie Baker.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: First question for Paul. On the fourth quarter cost guidance, it does appear to be sort of at the upper end of your target for the year, despite a little bit more fourth quarter capacity than I expected in what looks like a pretty easy cost comp on Hurricane Sandy. I realize there's a fair amount of demand uncertainty, particularly in November. And I can't help but wonder, I mean are there some real cost drivers in this 2% CASM guide? Or is this just where you're kind of building in some cushion for the quarter?
Paul A. Jacobson: No, I think we believe that we're going to come in around that 2% level and we'll get inside of it. But as we look at where we were in 2012, actually third quarter was the easier comp than fourth quarter is. But as we go through it, again, we're committed to keeping inside of that 2%. We think we'll achieve it.
Edward H. Bastian: Jamie, one of the things that got going on, as I mentioned, we have a lot of new aircraft delivering this quarter. So there's a little bit of uncertainty on the timing and the induction. So rest assured, we're going to strive to come in below the 2%. But for modeling purposes, we think 2% is probably a good estimate right now.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: Okay, helpful. And second question for Richard. And this isn't intended to take away from the success that you're having here in New York in the share that you've picked up from corporate employers, such as my own. But the fact of the matter is your largest New York-based competitor, which is a polite way of saying United, is having a rough go of things. You came out swinging in your opening comments, but I'm curious if you're baking in any competitive headwinds next year or just extrapolating from the current trajectory. In other words, how big of a threat to your considerable bullishness is a potential renaissance at United or even a merged LCC-American? Who knows?
Richard H. Anderson: Well, Jamie, I wasn't intending to make any commentary on any of the competitive dynamics in the market, but just focus on what we need to do at Delta. If you look at the New York market, it is a huge market. And what we've been able to do at LaGuardia has been pretty remarkable in terms of turning that to a fully-allocated profitable business. And as we ramp up the Virgin arrangement, our antitrust immunity with Virgin, we will now have the #2 position across the trans-Atlantic to the most important airport in the world for travelers out of the U.S., which is London, Heathrow. So, when you look at -- and I'm just speaking for Delta. I'm really making no reference to any other carrier, because at Delta, we're really just kind of focused on what Delta does. If you look at the momentum we have in LaGuardia, it's going quite well. And JFK has tremendous upside because we've seen enormous improvement in our trans-Atlantic operation to London, Heathrow with Virgin, and we haven't really started the joint venture yet. So the joint venture doesn't even start until January 1. And so when you take the combination of those events for Delta specific, it's a really strong base to be able to continue to grow. When you take the quality of our product, the new facility in JFK, it gives us a very strong base to be able to grow our unit revenues in New York.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: That's helpful. I would agree the LaGuardia and the Heathrow momentum are likely unrelated to any RASM benefit you might be gaining at the expense of the competition. So appreciate the input.
Operator: We'll move now to Duane Pfennigwerth with Evercore.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Just a cash flow question. Your earnings were up $440 million, yet your cash flow was up $650 million year-to-year. Are you seeing any change in seasonality around advanced ticket sales? Could you help explain that difference?
Paul A. Jacobson: I think if you're looking at just quarterly cash flow, there was an event in third quarter of last year where we've -- third quarter this year, where we've actually unwound some fuel securitization deals that generated a little bit of extra performance. I think on our forward cash, we see continued strong -- receipts are getting us some comfort around that.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: And can you give us any thoughts at this point on 2014 CapEx and your hedge position at this point for next year?
Richard H. Anderson: We're going to look forward to seeing everybody on December 11 in New York at our Annual Investor Day.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay, great. I'll sneak in a little detailed one then. Just the fleet was 900 versus 725. Can you explain -- maybe that had something to do with consolidation of a regional. Can you give us some detail there?
Richard H. Anderson: Endeavor. It's -- we picked up Endeavor as a wholly-owned subsidiary. Formerly Pinnacle.
Operator: We'll move on to John Godyn with Morgan Stanley.
John D. Godyn - Morgan Stanley, Research Division: I wanted to first ask about the repurchase. It looks like you executed a good amount the last quarter. It didn't really hit the share count. I think you had kind of a lump of shares that crept in there. But first of all, if you could just kind of talk about this $100 million. Is that a reasonable quarterly run rate to assume? Or should we view that as very opportunistic? And secondarily, if you could just explain sort of what neutralized the benefit on share count, that would be helpful.
Paul A. Jacobson: Sure, John. The share count was primarily a happy problem when the stock price was up 20% quarter-over-quarter. The dilutive impact on treasury stock method for accounting for options and restricted stock actually increases your higher diluted count. The repurchases during the quarter were somewhat back loaded during the quarter, so that the average calculation didn't give them as much of an impact. And then, on your other question, I'm not sure I'd be in good stead if I gave forward-looking guidance on repurchase.
Richard H. Anderson: Let me just give a little bit of qualitative. In my remarks, I said that we were running ahead of the long-term plan that we provided to investors in May of 2013.
John D. Godyn - Morgan Stanley, Research Division: Got it. That's very helpful. And if I could just ask a question more broadly on corporate travel, not necessarily focused on the New York market. Is there anything you can tell us sort of about how you're tracking it internally in terms of how much of the corporate travel revenue growth has been market-share driven versus the market overall? And how much market share opportunity you think you continue to have?
Edward H. Bastian: I think, John, I think it's clearly both. We've seen continued uptick in the overall volume of corporate travel across the industry. And I note that GBTA just put out a survey last week that said that looking into 2014, they're estimating travel expenditures to be up 7%. So clearly, there's a continuing rising tide for corporate travel. But given our double-digit performance that we've been running consistently year-on-year-on-year, clearly there's a considerable amount of share shift that we've also been picking up. So it'd be hard for me to split the 2, but I'd say they're both significant contributors.
John D. Godyn - Morgan Stanley, Research Division: And opportunity going forward?
Edward H. Bastian: We think there's great opportunity going forward, and I think Richard covered a lot of that in his opening remarks. When you think about the product, that will now be consistent across our entire international fleet, with widebodies starting the spring of next year, when you think about the progress we're making in New York with the new facilities at JFK and LaGuardia and you think about the inroads we're making, particularly in the banking and financial sectors, markets we didn't have much share at all and we're going to be a strong contender, and then you add Virgin on top of that, we got a lot of confidence that we're going to continue to grow that share.
Operator: And Glenn Engel with Bank of America has our next question.
Glenn D. Engel - BofA Merrill Lynch, Research Division: A couple of smaller questions. One, on the yen side, you mentioned the impact this year is really on the lost traffic. As those -- if the yen stays where it is and as those hedges roll off, do we have a yen impact on yield next year?
Edward H. Bastian: You're asking about a 24 -- could you rephrase your question, Glenn? I didn't quite follow...
Glenn D. Engel - BofA Merrill Lynch, Research Division: This year, the yen is -- should've diluted your yield, but you hedged it. As those hedges roll off and the yen stays at this level, do we see a further impact from the yen next year, but this time showing up in the yield?
Edward H. Bastian: Sure, sure. We have a considerable hedge book out for another 18 to 24 months. We're building our Pacific restructuring around the assumption that the yen will be at, at least 100 going forward.
Richard H. Anderson: Glenn, we're 50% hedged in the 80's through 2015.
Glenn D. Engel - BofA Merrill Lynch, Research Division: Oh, boy. On the Endeavor side you mentioned, did that -- even though it's wholly owned, did that show up entirely under the contract carriers on your operating [indiscernible] statement line?
Jill Greer: No. It's under unusual line items in the P&L, Glen.
Glenn D. Engel - BofA Merrill Lynch, Research Division: I'm sorry. The Endeavor, is that -- the expenses in -- of -- tied to Endeavor, does that show up in contract or does that show up throughout the operating expense lines?
Jill Greer: It's in the operating expense lines, Glenn.
Glenn D. Engel - BofA Merrill Lynch, Research Division: Oh, all the pieces. So it's all spread out. Okay.
Jill Greer: Yes.
Glenn D. Engel - BofA Merrill Lynch, Research Division: And on LaGuardia, can you talk about connections? What level of connectivity you're up to right now?
Paul A. Jacobson: We're sitting right around 20% connectivity in LaGuardia, which is the targeted range that we thought we'd be in. We're going to continue to refine our schedule now that we know actual demand, and we feel like we have a lot of momentum going into 2014 with the LaGuardia operations.
Glenn D. Engel - BofA Merrill Lynch, Research Division: Would you like that number to be higher? Or is 20% really where you want to stay?
Paul A. Jacobson: No. I think our original target was 20% to 25%, so we might be a little bit on the lower range. But we've made a lot of adjustments to really tailor capacity for demand. And I think we're very satisfied with the P&L and where we sit today, and we think there's a lot of upside as we move forward.
Operator: And from Cowen, we'll go to Helane Becker.
Helane R. Becker - Cowen and Company, LLC, Research Division: Richard, I was wondering if I could ask a follow-up question to my last question on the last conference call, when we talked about CBP in JFK. I know you guys added a bunch of self-service kiosks. Can you just talk about the performance there and how that's going for you?
Richard H. Anderson: Actually, the self-service kiosks have been fairly remarkable in terms of reducing line waits for people coming into the U.S. And it's probably one of the biggest innovations that we've seen come along from CBP and we are hopeful that we're able to roll it out. Actually, what we should do as an industry is roll it out across all of the big airports in the U.S. to just facilitate travel into the U.S. And Steve Gorman, you may have some specifics to provide Helane on what line waits have turned, how they turned?
Stephen E. Gorman: Yes, Helane, just to give you a feel. Granted, this is not necessarily the peak season, but since we've put them in, we've seen as much as 90% reduction in line waits. So line waits in the 45-, 50-minute range, down to mid-single digits, 5, 7 minutes for line waits. So, remarkable improvement.
Richard H. Anderson: And Helane, I have to thank Senator Schumer for his work in helping us in New York.
Helane R. Becker - Cowen and Company, LLC, Research Division: And then can I just ask a completely unrelated question? As you build up Seattle, should we think about that as an international connecting hub versus Salt Lake as a domestic hub? Or, will you be transitioning some capacity away from Salt Lake into Seattle? How should we think about those 2 hub locations?
Glen W. Hauenstein: Helane, it's Glen. Seattle is an amazing city and we are going to continue to expand internationally there, but without taking anything away from Salt Lake. Salt Lake is a great domestic hub with a couple of international flights into it. We expect to maintain that status, maybe even grow it over time, as that city is continuing to grow rapidly. But Seattle is our Asian gateway and we'll serve the top 3 cities in Europe next year, and we're very excited about the opportunities that present themselves in Seattle as an international gateway.
Operator: We'll move now to Dan McKenzie with Buckingham Research.
Daniel McKenzie - The Buckingham Research Group Incorporated: Ed, following up on your commentary to growth to South Korea, it is an Open Skies country. So just a quick question here. Are you leveraging that opportunity with the JV at this point? Or is that an opportunity possibly on the horizon?
Edward H. Bastian: I'm sorry, I couldn't hear your opening remarks. Were you asking about Korea?
Daniel McKenzie - The Buckingham Research Group Incorporated: Yes. Following up on your commentary to growth to South Korea, I was just pointing out that it is an Open Skies country. My question is, is are you leveraging that opportunity with the JV at this point? Or is that an opportunity that might possibly be on the horizon?
Edward H. Bastian: We don't have a JV with Korean at this time and I can't project where that's going to go.
Daniel McKenzie - The Buckingham Research Group Incorporated: And I guess, just a follow-up question. I guess, Richard, for you, just on Open Skies in general. What are your thoughts about what might be holding back Open Skies with China?
Richard H. Anderson: Well, I think the Chinese carriers are continuing to develop and the Chinese government, to their credit, views -- unlike the United States, the Chinese government views aviation as a strategic asset for its country. And so they're making the kinds of investments in growing and developing 3 strong flag carriers. And if you were in their situation, you would take similar steps.
Daniel McKenzie - The Buckingham Research Group Incorporated: Is that something you can see changing on the horizon?
Richard H. Anderson: Long term, for Delta, ultimately, it could possibly change. I don't know when that will. But when you think about how Delta is positioning itself with China Southern and China Eastern, we have exclusive relationships with 2 of the 3 important flag carriers there, and we're now actually connecting 30 to 40 passengers a day on to our partners in Shanghai and Beijing. But if you have a good vision of where you should be a decade from now, you could imagine replicating the kind of joint venture relationships that we perfected in Europe to be able to move those to China. It's going to take a long time, but that's the kind of work we need to be thinking about now so that we can sustain the free cash flows and the growth of the enterprise over the very long term.
Operator: And Savi Syth, with Raymond James, has our next question.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Just on the MRO side, I know the revenue there has been declining as you get rid of some of the lower profit business. There's some news about more MRO business coming to the U.S. just because the labor arbitrage has been moving away. Do you see that business as growing some time? I know back in maybe 2011, 2010, you thought that was a business that you could grow in. I was wondering what the prospects were for that business?
Richard H. Anderson: This is Richard Anderson and I'll have Steve chime in with more specifics. We like the MRO business quite a lot. The change that we've made in that business is to transition it more to component and engine work over time. And given the need around the world for the ability to perform complex maintenance tasks, we're particularly well positioned at Delta. What we have been able to do over the last 18 months, we brought in a new head of that business, Peter Turner, who ran the MRO business for Rolls-Royce for many years. And we built a very strong team and we have significantly expanded our margins in the MRO business. And we expect now that we're going to be moving more into a growth mode in that business. We have a joint venture agreement with Boeing on the 767 tanker that we expect will be a significant growth opportunity for Delta. And as we look out at fleet maturity around the world, we believe we'll be well positioned to be able to leverage our expertise, particularly in engine and component overhaul.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: And is that still, like, maybe a $0.5-billion-sized revenue business?
Richard H. Anderson: A little more than $0.5 billion, with double-digit fully-allocated margins.
Operator: And we'll hear next from Thomas Kim with Goldman Sachs.
Thomas Kim - Goldman Sachs Group Inc., Research Division: Great to see the contributions out of Virgin Atlantic from the get go. I was wondering if you could give us a preview of the increased types of collaboration you anticipate once the JV is formed next year?
Edward H. Bastian: Sure, Tom. This is Ed. We have a big opportunity, principally in the corporate arena, where we can bring our selling efforts together on both sides of the ocean. So since we already have antitrust immunity, our sales -- collective sales teams are working on it today to go out the market with a single sales plan. So, you'll see that will be a big driver of our look-forward opportunity, and New York will be a big beneficiary in that regard. We'll be looking at future network opportunities to grow, with either the Virgin metal or the Delta metal. And I think operationally, Virgin is going to benefit from Delta's operational prowess. And when you think about the size of the company, they've got a great brand and a great name, but they're relatively subscale. We bring a lot of purchasing might to them as well, and operational know-how. So, I think it's a great opportunity and our teams are working very effectively and I'm very excited about it.
Thomas Kim - Goldman Sachs Group Inc., Research Division: For modeling purposes, should we anticipate the benefit accruing more through the JV or actually directly through the trans-Atlantic contributions?
Edward H. Bastian: I think it'll -- well, it's both, right? So the JV and the trans-Atlantic, it's all going to be through the JV. So, that's where the big benefits will be. It'll be in the top line.
Thomas Kim - Goldman Sachs Group Inc., Research Division: And then if I can ask one last follow-up on that. Given that Virgin's privately held, what type of transparency should we expect to see going forward, as this contribution could continue to grow and become much more meaningful?
Edward H. Bastian: We'll continue to give you disclosure of the 49% ownership stake that we have on a real-time basis, and we'll keep you posted as to the JV's progress once we get engaged next year.
Operator: And that will be from Hunter Keay with Wolf Research.
Hunter K. Keay - Wolfe Research, LLC: Question for you. I can tell that you're excited about this trans-Atlantic JV, obviously, with Alitalia, but they're having some problems right now. And I'm curious, you guys, your JV is unique in the sense you actually share costs and not just revenues. So can you give us a refresher as to how the costs from Alitalia's operation flow-through? And maybe more importantly, if these guys are facing some sort of liquidation scenario, which is possible, are you guys going to be prepared to step up and potentially offer a capital injection if you have to keep them afloat?
Richard H. Anderson: Hunter, this is Richard. Alitalia is an infinitesimal -- a very small part of the trans-Atlantic JV. It's a $12 billion enterprise and Air France-KLM have the lead on that, and we're not injecting any capital into it.
Hunter K. Keay - Wolfe Research, LLC: And in terms of these corporate share gains, can you give us an idea how much of your corporate -- structured corporate contracts come from foreign companies? And is this an area that you're targeting for growth in the future? And do you have an ideal percentage as to what you'd like to get that to be?
Richard H. Anderson: Well, we don't disclose or break down the specifics by foreign origin point-of-sale on our corporate sales.
Hunter K. Keay - Wolfe Research, LLC: Is it fair to think it's like a small portion right now? I mean like less than 10%? Or, I mean, is this just something that is just rounding?
Richard H. Anderson: It's just a lot more complex than that because we have joint venture agreements with Air France, KLM, Aeroméxico, GOL. And these joint venture agreements have both foreign point-of-sale and U.S. point-of-sale. So they're really -- the right way to look at these businesses as in the totality.
Jill Greer: And that's going to conclude the analyst portion of the call. I'm going to turn it over to Betsy Talton for the media portion.
Betsy Talton: Thanks, Jill. Kelly Anne, if you could, please go over again the process for queuing up to ask the questions for the media. [Operator Instructions]
Operator: [Operator Instructions] And we'll go to Mary Schlangenstein with Bloomberg News.
Mary Schlangenstein: I may have missed this during the course of your presentation, but did you quantify the impact of the government shutdown?
Richard H. Anderson: Yes, we did. In the month of October, we estimated that it had a negative impact of $20 million to $25 million on our revenues.
Mary Schlangenstein: And are there any concerns with the uncertainty of pushing out the date on the debt ceiling and the rest of that? That will continue to have an ongoing impact due to the uncertainty? Or it kind of sounds like from your outlook and your expectations, that you don't see that impacting things further in the fourth quarter?
Richard H. Anderson: We don't expect that it will have any further impact in fourth quarter.
Mary Schlangenstein: Out into the start of 2014, too far out tell?
Richard H. Anderson: Well we haven't issued any guidance to the like for 2014. But just overall, it's not good for the U.S. economy to lurch from one sequester government shutdown to another every 90 to 120 days. It's not good for any company or organization in the U.S.
Operator: We'll move on to Karen Jacobs with Reuters.
Karen Jacobs: Will you anticipate expanding flights beyond what you've already announced for the Virgin venture?
Richard H. Anderson: We don't speculate ahead of time on any decisions to enter markets in the future.
Jill Greer: Thanks very much, again, everyone. Richard, Ed, Paul, Glen and team, thank you. That concludes our September quarter call. We'll see many of you at Investor Day in New York on December 11 and be back on the phone for the December quarter and year-end results in January.
Operator: Again, that will conclude today's Delta Airlines conference. We thank you all for joining us.